Operator: Greetings and welcome to the Sterling Construction Fourth Quarter 2014 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Lucia Diaz Thank you, Ms. Diaz, you may now begin.
Lucia Diaz - Executive Assistant: Thank you, Rob. Good morning. On behalf of Sterling Construction, I welcome you to our fourth quarter and 2014 year-end investors call. I'm joined today with our CEO, Paul Varello; and our CFO, Tom Wright. Today's conference call includes statements to fall within the definition of forward-looking statements under the Private Securities Litigation Reform Act. Such statements are subject to risks and uncertainties, including overall economic and market conditions; competitor and customer actions or weather conditions; and other risks identified in the company's filings with the Securities and Exchange Commission, which could cause actual results to differ materially from those anticipated. Such statements should be considered in the light of these risks. Any predictions by the company is only a statement of the management's beliefs at the time the prediction is made, management's beliefs may change over time and the company does not undertake to publicly update those predictions. Now, I turn over the call to Tom Wright, our Chief Financial Officer.
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: Thank you, Lucy. I'd like to discuss our 2014 fourth quarter financial performance. Revenues for the 2014 fourth quarter were $153.6 million, which were 22% higher than the fourth quarter of 2013. The increase in revenues compared to the fourth quarter of 2013 was primarily due to a reduction in revenues in last year's fourth quarter stemming from write-downs of three large projects in Texas. Revenues in the fourth quarter of 2014 were also somewhat depressed by weaker-than-anticipated revenue in the company's California, Utah and Hawaii operations. Gross margin for the 2014 fourth quarter was 2.4% of revenue compared to the negative 18.3% in the fourth quarter of 2013. Gross margin in the 2014 fourth quarter improved from the fourth quarter of 2013 primarily due to the previously mentioned write-downs in last year's fourth quarter. Additionally, gross margins in 2014 fourth quarter were depressed due to spot shortages in commodities, overstretched subcontractors and vendors and intense competition for craft labor in the Texas market. These issues resulted in $9.5 million of net charges in the 2014 fourth quarter. General and administrative expenses in 2014 fourth quarter were $9.6 million or 6.2% of revenues compared to $13.7 million or 10.9% of revenues in the fourth quarter of 2013. This improvement was the result of certain one-time costs in the 2013 fourth quarter in addition to cost controls that allow the company to keep general and administrative expenses flat despite increasing annual revenues. The operating loss for 2014's fourth quarter was $5.6 million compared to an operating loss of $37 million in the fourth quarter of 2013. The operating loss in the fourth quarter of 2013 included charges of $36.9 million related to the three large projects in Texas awarded prior to 2012. The operating loss in 2014 was affected by $9.5 million of write-downs attributable to the previously mentioned issues. Net loss attributable to Sterling common shareholders for the 2014 fourth quarter was $7.3 million, compared to a net loss of $52.1 million in the fourth quarter of 2013. Net loss per diluted share attributable to Sterling common shareholders for the 2014 fourth quarter was $0.39, compared to a net loss of $3.52 in the fourth quarter of 2013. Per share calculations in the 2014 fourth quarter included $2.1 million more shares than the 2013 fourth quarter. Capital expenditures for the 2014 fourth quarter were $2.3 million, compared to $3.6 million in the fourth quarter of 2013. Capital expenditures for the full year 2014 were $16.7 million, compared to $14.9 million for the full year 2013. Total backlog ended 2014 at $764 million. This was up 11.2% from 2013 year-end and 0.7% from backlog levels at September 30, 2014. Total backlog at December 31, 2014 excluded $24 million of projects where the company was the apparent low bidder but had not yet been awarded the contract. We estimate the current average gross margin of our projects and backlog is in the low to mid-6% range. Our 2014 fourth quarter working capital totaled $52.2 million, including $22.8 million of cash and cash equivalents, and we also had $2.4 million available on the company's credit facility. Sterling ended 2014 with borrowings of $34.6 million and tangible net worth of $86.3 million. We were in compliance with two of our three bank covenants at the end of 2014, but we've reached our tangible net worth covenant of $88.7 million by $2.4 million. We have since negotiated a waiver of the breach and an amendment of the line with our primary lender. The amendment includes a reduction of our credit line from $40 million to $35 million with additional reductions to $25 million on June 1 and $15 million on September 1. Other conditions of the amendment were described in our press release earlier this morning. We are currently in the process of evaluating several debt financing proposals with new lenders. Because Sterling has a large asset base comprised of a sizeable fleet of modern construction equipment, a number of lenders have expressed an interest in replacing our current credit facility at the $40 million level. We expect to have this new facility in place by the end of April. At this time, I can't give greater details on any of the proposals. I will now turn the call over to our CEO, Paul Varello.
Paul J. Varello - Chief Executive Officer: Thanks, Tom, and good morning, everybody. As many of you know I've spent my entire career in the construction industry. My family was in the road building business and I worked there with my dad and brother, my uncles and cousins, while getting my civil engineering degree from Villanova University. After graduating, I worked in heavy civil projects, including roads and bridges, airports, dams, tunnels, power plants and oil refineries. I believe that my lifetime of construction experience has allowed me to be a more effective director for Sterling. When I agreed to become the interim CEO this past February, the board anticipated retaining a search firm to find a permanent CEO. After just several weeks on the job, I knew that I could expedite the turnaround and make an immediate impact on our company. The board felt that I had the right skill set, experience, knowledge, and could lead the turnaround, and so they asked me to be the permanent CEO. In order to show our shareholders that my interests were fully aligned with theirs, I suggested a compensation package consisting of $1 a year in salary and 600,000 shares that vest equally over three years beginning next year. In an attempt to make me feel better, Tom Wright reminded me that I am not just making $1 a year, I'm pulling down $0.02 a week. Thanks, Tom, I feel a lot better. As we all know, Sterling has struggled to deliver consistent results over the past several years. I wanted to fully understand why. And so over the past several months, I've drilled down into every aspect of our business, including our processes, our procedures, our personnel. As a result, I've taken numerous actions aimed at sharpening our performance, identifying potential issues before they erode profitability, and avoiding problematic write-downs. No one likes negative surprises, particularly me. I've also evaluated our organizational strengths and weaknesses and made the necessary adjustments in leadership, particularly in our Texas operations. So specifically what happened in the fourth quarter that resulted in the loss, what went wrong, and more importantly, what have we done to avoid such negative surprises in the future? In the fourth quarter, we fully recognized the amount of cost required to complete several troubled projects. In addition, scheduled delays that occurred earlier in the year pushed that work in these projects into the fourth quarter, where adverse weather and year-end holidays hampered our ability to be efficient on the remaining work. As a result, we had to adjust down our estimated labor productivity for that time of year. It's a fact that in rains and can be damn cold in North Texas in November and December, and it's also a fact that holidays at the year-end always affect productivity. For the most part, those projects are now behind us and will be completed by the end of this first quarter. So, what have we done to avoid such surprises in the future? First, let me say that this business has only a handful of basic rules. If followed, they allow you to perform effectively and profitably. The two most important of those rules are bid smart and execute well. On the bidding side, we've become far more disciplined at selecting projects that fit our capabilities, our strengths and our sweet spot in both project size and in complexity. As a result, we're improving our win ratio and increasing gross margin in our backlog. By the end of this year, there will be a fewer number of projects in backlog, but those projects will be larger and more profitable than we've experienced in the past. On the project execution side, we strengthened our project management teams, our cost control processes and our project administration functions. We've added experienced project managers and project engineers, reduced the number of jobs that they must oversee, stepped up the application of our cost control software, encourage greater collaboration between our five geographical units, including exchange of estimating project management talent, key equipment and other unique skills. And we've improved our project administration functions to identify and record change orders on time and to file claims when justified. We expect to have some potential tailwinds as well this year. I believe these will also help improve earnings. One very big upside is our lower fuel prices. We expect to save more than $4 million this year in fuel costs. We have also looked at our non-performing assets and believe that we can monetize several of these assets at a one-time profit with no impact on our operations. Those assets include the sale of certain real estate and surplus inventory and equipment. Over the past year, we've also filed claims that we expect to generate $3 million to $5 million in recoveries in the next 12 months. We've also focused our attention on SG&A costs and have made meaningful reductions in ongoing expenditures. We know that essentially 100% of such reductions flow directly to our bottom line. In addition, our capital expenditures this year should be well below those in 2014. While we still have some challenges remaining that will take time to address, we have the right people, tools, equipment and most important, the dedication to be successful. I believe that Sterling has the potential to become the best-in-class company. If we effectively execute our projects and vigorously control our costs, there's no reason why we can't be profitable in the second half of this year and grow substantially from there. Since our earnings pre-release this past January, our investors and other key stakeholders have heard nothing but radio silence from us. I am painfully aware of how frustrating that can be, but I can assure you that we've been working harder than ever to address our operating problems and to repair and strengthen our financial platform. We needed to address both aspects of our business to ensure success in the future. Our CFO, Tom Wright, agreed to take on the financial task while I tackle the operations issues. I'm very pleased that Tom has successfully negotiated a waiver with our bank to address our covenant breach. This will allow us liquidity we need in the short-term to give us the time necessary to put into place the debt financing structure by the end of next month. That will provide a long-term liquidity we want. Looking ahead, we anticipate continued year-over-year revenue growth this year stemming from our robust backlog which increased 11% during the year – last year to a record $764 million at the end of this year. In addition, we have a strong pipeline of project opportunities that we are pursuing throughout our primary markets. We're particularly encouraged by the recent announcement by the Texas Department of Transportation that the state would put out for bid more than $9.4 billion in new road and related infrastructure projects this year. Although there has been some speculation that the state might have to curtail part of that expenditures because of revenue shortfall from the lower oil prices, the current indications from TxDOT are that these projects are shovel-ready, funded and will proceed as planned. We expect that margin improvement will be driven by the enhancements we've made in our selected bidding process, our project management procedures and the leadership changes we've made. At the end of last year, the average gross margin of our projects that was in the backlog was low to mid 6% range. I believe that our backlog margin will improve over the course of this year, thanks to a more disciplined bidding strategy. However, while selective estimating will improve margins in the backlog, the greatest impact to bottom-line profitability will come from successful project execution, including effective project management, cost control, planning and scheduling and administration change orders and claims. Over the past several years, we've invested heavily in project management tools and cost control software but have used only a small percentage of the tools available within those systems. We're now employing many more of the features in that software platform on our new projects. We believe that these tools will be invaluable in helping us to better manage our projects. In summary, our results over the past several years have been very disappointing. We firmly believe that the fundamental underpinnings of this business and the team we've assembled can deliver consistent profits and cash flow over the course of 2015 and beyond. I am confident that Sterling is in the right business at the right time and is poised for growth. America needs to address its decaying infrastructure. That may be one of the few things that all of our politicians can agree on. Thank you. Now, we'll be happy to take your questions.
Operator: Thank you. Our first question is coming from the line of Tahira Afzal with KeyBanc. Please proceed with your question.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, Paul and Tom.
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: Hi, Tahira.
Paul J. Varello - Chief Executive Officer: Good morning, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: So I've got many questions, but I would start off with the capital and as courtesy, just dial – plug back in as follow-on. So, Paul, the first question is with these problem projects expected to be largely completed in the first quarter, how should we think about your margin step-up into the second quarter and onwards?
Paul J. Varello - Chief Executive Officer: Well, I think right now we're in the process of really drilling down to every one of those projects underway and to reforecast their position, their earnings through the balance of this year. We should have that wrapped up within the next month. And I think I'll have a better handle on it, but clearly those projects are finishing up and it's only a question of do we have the right forecast to complete that work. Typically, what happens is, sadly, the last 5% of a job costs you 10% of the money. People hate that answer but that's closer to the reality, because you got a lot of loose ends and you can't be as productive. And so as long as we forecast it correctly, I think we're going to be fine.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, Paul. And on that note, I noticed that your new covenants quote tangible book value at $75 million. You're at $86 million right now. So is the assumption around that some sort of a cushion just in case you see some nuances for the last – in terms of the last bit of this project finishing off?
Paul J. Varello - Chief Executive Officer: Tom, why don't you handle that one?
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: Sure. Yeah. Tahira, yeah, what we wanted is sufficient head room to show that we could get through the full year even with issues. So while we're trying to look at covenants, what we're trying to do is to get as much head room as possible. It's not really a forecast. It's just to try to work with the bank to get as much room as we can.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. And the third question is in regards to those sort of 6%-plus type of margins that are embedded in your backlog, would love to know if you built into that the fuel cost savings. What's your labor cost assumptions around that going forward? And also, if you could comment perhaps on any of the divestments you might be looking to make on the equipment side, whether you don't think it's needed at this point.
Paul J. Varello - Chief Executive Officer: Okay. I think in terms of the margin, as these jobs roll out and as we bid more of the work coming up, we are consciously focused on things we know we can do well, that's been our sweet spot and where competition is far less of an impact than it has historically been on the more generic work and the smaller jobs. I would tell you that that will allow us to put the margins in there at more reasonable numbers than we've had to date. Regarding the equipment sell-off, as you heard Tom say, we will be using that equipment to secure some of this debt financing but there is still plenty of latitude to take that surplus equipment and to monetize it. And so we'll be looking at that and working with our financial partners as we move forward. But there is an awareness that – well, always it happens that you are revolving the older equipment out of the fleet and adding new stuff, and so we are working with the lenders on that. But I think that's going to be an easy ride for us.
Tahira Afzal - KeyBanc Capital Markets, Inc.: All right, thank you, folks, and I'll jump back in the queue.
Paul J. Varello - Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from the line of John Rogers with D.A. Davidson. Please proceed with your questions.
John Rogers - D.A. Davidson: Hi. Good morning.
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: Hi, John.
Paul J. Varello - Chief Executive Officer: Good morning, John.
John Rogers - D.A. Davidson: A couple of things. I guess, first of all, maybe for Tom on the credit facility. At the end of the year, I think you've indicated that you had drawn just under $35 million on the facility and then an additional $3 million of letters of credit, but you've reduced the facility to $35 million. So does that imply that what you've drawn on it as of today is well below what you had at year-end?
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: Yeah. I would look at it from a net standpoint, John. We also had over $22 million in cash at the end of the year. So from a net standpoint, we're in the mid-teens and that's kind of how I would look at.
John Rogers - D.A. Davidson: Okay. And if you refinance this by – or set up a new agreement by the end of April, then do you incur that $400,000 of fees at the time you set up the new agreement?
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: No, if we have it in place by the end of April, we would incur $100,000 of fees.
John Rogers - D.A. Davidson: Okay, okay.
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: The fees are staggered in four payments, John.
John Rogers - D.A. Davidson: Regardless even if you replace it?
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: That's right. Yeah, yeah. If we replace it, we would have $100,000 in fees that's due at closing.
John Rogers - D.A. Davidson: Okay, all right. I thought that was total. Okay. And then the other thing is, I guess, Paul, in terms of the project margins, just if we could go back to that a little bit. Did you say that you had $9.5 million of project charges in the fourth quarter?
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: I said that, John, yeah.
John Rogers - D.A. Davidson: I'm sorry, Tom. Was that for the whole year or the fourth quarter?
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: Those were the job change effects just for the fourth quarter.
John Rogers - D.A. Davidson: Okay.
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: So we resolved it in the fourth quarter loss.
John Rogers - D.A. Davidson: Okay. And so – and those projects will – I guess, are those in addition to the projects that gave you the fits at the end of 2013 and 2014? Are these new other projects? I just want to try and understand where we are in working through this.
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: I think there is kind of a mix in there. There were some additional costs to finish up all jobs and then there were some specific project issues. And as we mentioned, there were subcontract issues that we had that the Texas market has been very hot and there's been some subcontractor issues associated with that and then there was also shortages of craft labor in the Texas market. So it was kind of a culmination of several things. Unlike the year before where it was a very large number associated with three projects, this was a culmination of many factors that total up to $9.5 million in the fourth quarter.
John Rogers - D.A. Davidson: Okay. And so, I guess, the question maybe for Paul. I mean, since you've come into this position where you're dealing with a backlog that was bid over the last couple of years and it seems like repeatedly over the last couple of years, we've had to scale or you've had to scale down the margin expectations or margin execution on a lot of your work. And I guess, what makes you confident that the backlog you've inherited would actually are going to get to this mid to low 6% margin rate, I guess, is what I'm asking.
Paul J. Varello - Chief Executive Officer: Yeah. No, it's a good question. Let me just try to – a question that come up in about a month ago from one of our investors that I thought I could answer now. At the same time, we weren't really allowed to answer it at the time. But I would tell you that that the contribution of the margin – the low margin, the aggressive bidding, the estimates, the backlog is only a small part of what ultimately influenced our earnings shortfall. The lion's share that really wasn't in what was the margin you bid it at so much as what was the margin you ended up with through your performance. And because of a whole multitude of issues, while I jumped all over the estimators, when I drill down it was hard for me to beat them up much about ridiculously poor estimates or missing items or being too aggressive. There was a little of that and a little wishful thinking in the estimates. But by and large, it was the lack of good performance and good project execution, just basic fundamental blocking and tackling that we missed. And we have since changed out all of those kinds of folks that were involved and didn't have their head in the game. And I think we got the focus we need going forward, but those were mostly – the contribution of the issues came from the execution far more than from the estimate.
John Rogers - D.A. Davidson: Okay. But presumably this year, I mean, with $760 million of backlog and another – I mean, you're going to be running off a lot of work that was awarded under the old procedures.
Paul J. Varello - Chief Executive Officer: Yeah. Well, no. Awarded under the old estimates but operated under the new procedures, we will not...
John Rogers - D.A. Davidson: Okay.
Paul J. Varello - Chief Executive Officer: ... operate under the old procedures. There is a difference here. And those jobs, in many cases, are in the early and upstages where we can influence entirely how well they come out of the ground and how well they operate, we intend to.
John Rogers - D.A. Davidson: Okay. And then given that we're almost through the first quarter and it sounds like you're anticipating additional losses in the first quarter, and I know that seasonally the weak period, but is that the right way to think about it? And then – and we're really going to get back to profitability in the second half? I'm just looking at your comments there.
Paul J. Varello - Chief Executive Officer: Yeah. I would say that what we're doing now is a deep dive on every job that's out there, and no matter how far along it is, on what do we think it's going to cost to complete and to – and we'll have that done within the next several weeks. That will give us a really good handle on what we've got ahead of us in terms of earnings on these jobs and as we put in new jobs, making sure they get run right. So I wouldn't call it a first quarter loss so much as a first quarter reconciliation and reforecast for the full year's profitability on those projects.
John Rogers - D.A. Davidson: Okay. And then, I guess, just last thing, if I could. In terms of the market opportunities, in the press release, you referenced Texas, but could you just give us a sense of where the most active bidding markets are in – especially relative to Sterling's capabilities? I mean, is it Texas, is it Utah, elsewhere in the West?
Paul J. Varello - Chief Executive Officer: Yeah. First of all, I think it's helpful. I'm glad you brought that up. It's helpful to remind ourselves that about 40% of our revenue comes out of Texas. 60% of our revenue comes from our other four geographic markets and we have consistently performed well in those markets even when there's bad weather and other things. We don't lose money. We may not make quite as much. And some of that write-down in Texas and – I mean, in Hawaii and California were really about lower profitability but not in-the-drink negative losses. We just had some things hit us that we had to lower our profit expectations. I would tell you, we're in the best markets for what we do, geographic markets for what we do. Texas, as I said earlier, has probably got a record-high $9.4 billion this year. It was driven off a mandate from the voters that were tired in driving over potholes and on congested roads and we're going to see more of that in Texas in spite of the fact that right now, budgets are tight and revenue is a little tight. Texas is dedicated to growing and repairing its infrastructure as is the rest of the country. It's also true in California and Hawaii. Utah has been a little slow, but we've managed to reach out beyond Utah with – our market there has expanded and we're working more with the different market regional guys to work together. So we're joint-venturing with – between our companies in work in California, in work in Utah and Montana and other places to make sure that we cover it with the best horsepower we've got in those markets. So I tell you that we are in the best markets we can be in from where we see the growth in the next several years frankly.
John Rogers - D.A. Davidson: Got it. Thank you.
Operator: Our next question is a follow-up from the line of Tahira Afzal with KeyBanc. Please proceed with your question.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thank you very much. So I have a couple of other follow-up questions, Paul and Tom. The first one is I know that it's been sort of wet and rainy, all my friends in Dallas have been complaining. So as far as the outlook is concerned, I assume the weather in the first quarter is also going to be an impact like it was in the fourth quarter.
Paul J. Varello - Chief Executive Officer: Yes. But I've told our people – they hate this, but I say it rains in Texas and it rains a lot...
Tahira Afzal - KeyBanc Capital Markets, Inc.: Right.
Paul J. Varello - Chief Executive Officer: ... in January in Texas. And so shame on us if we think it's suddenly going to be sunny and warm in Texas in January. It's not; it never is. And so we got to be sober about what we're saying about what we can do and how we can perform. We need to work more flexibly around rainy days. If we get rained out on a Monday, we need to pick it up on a Saturday to make sure that we are getting the work done, but it will be cold and it will rain. And is it unseasonably cold and wet? Maybe, but it will be cold and wet in the future, too. And that's not an excuse I see our people being able to hide behind. The best thing you can do is start to adjust your productivity based on when you could hit the job. And by that I mean if we can hit jobs as we're doing now in the spring, we go into the spring and summer and fall, we get great head starts. And then in the winter things slow down and become more frustrating. And so the trick here is to make sure we're hitting the work when we've got the right seasonal conditions to do it well. If we're stuck in the dead of winter, we just got to forecast down and not be silly about what we can do in those winter months. Thank you.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay, Paul. And then, Paul, you've gone and made some personnel changes, which makes a lot of sense. How easy has it been, or difficult, to get good people, given the market in Texas is pretty tight on resources as is?
Paul J. Varello - Chief Executive Officer: Well, the business has what I call a lot of following. We have hired some wonderful, talented leaders, and as a result they are bringing in people who have respected them, who've calibrated their management style and admire them. And so if you went out and just ran an ad in the local newspaper, God knows what you'd get. We don't do it that way. We bring in top people who have a drawing power and they bring in their lieutenants and that has worked extremely well for us this year as we've changed out some people who weren't performing very well.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, Paul. And then on subcontractor components, that was one of the reasons, from what I understand, that the scope of these projects sort of got out of control. As you look and start to build a backlog on large projects again, Paul, how should we think about the self-perform component versus the subcontractor component?
Paul J. Varello - Chief Executive Officer: Let me make a broad statement, first of all, about subcontractors and what I've observed in my many years in the business. This last downturn – this recession – this slowdown has injured everybody, but particularly the smaller operators. The subcontractors that we've worked with in the past we have found to be less capable today than they were five years or six years ago. Well, more than that now, 2008 and 2009 they were at the peak. And while they were hunting for manpower, their skill sets and their ability to perform was frankly much higher and their financial strength was much better. Today, those who have come through this recession are lucky. They're weaker than they were but they're lucky to have come through it. And we have to watch carefully about their current capability to respond. I've asked the people in our organization to rescreen every sub that we historically have worked with to make darn sure that they've got the balance sheet, the leadership and the capability to do the work, and not assume that because they did it well for us seven years or eight years ago that they are always going to be there. Because this recession has really nailed a lot of these people; many of them have simply gone out of business. As a result, we are also looking at doing more self-perform work where we can. There's still the specialty guys that we want to use for things like road signs and lighting and other things. But by and large, I think if anything we're going to move more toward controlling our own destiny by self-performing a bit more of the work because I'm fearful of putting our destiny in the hands of sub-contractors that fail halfway through a job and leave us with a mess to clean up and pick up
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. That's actually pretty helpful, Paul. And, Paul, next question is in regards to labor. I know over the last few years, labor costs have gone up. You've seen a lot of folks in Texas running out – off to work on rigs. Have you tried to do an analysis on how much that impacted your gross margins? A couple of years ago, we were talking about gross margins in the 8% zone. Would you say most of the impact has – where we are now has really come from labor productivity? Do you see that as being a potential upside if some of this work subsides and labor costs become a little more reasonable?
Paul J. Varello - Chief Executive Officer: Yeah. I think to blame it on labor cost, per se, may be a bit of an over-statement. Poor management often drives bad labor productivity and labor productivity that's poor drives margins south as opposed to pure labor rate. If you use labor well, you could even afford to pay people reasonably well and give them raises as long as they're producing. So it's about leadership and about performing the work. If anything, as much as we, here in Texas, now are singing the blues about the drop-off in the shale play, it has really helped our business obviously because a lot of Texans have come back to Texas that were up in the various shale plays and that really helped us, truck drivers particularly where we were short are suddenly in large supply. Other labors are coming back and it's becoming a little easier for us to staff our craft mix with really capable people who are chasing the big bucks north here in the various shale plays. So today, I don't see availability of labor as a big issue and labor rates have not gone up. They're flat to slightly up and it's really a question of getting productivity now. And if we do, we'll be just fine.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, okay. Paul, and I guess last question, it's more so for Tom. Tom, G&A rate as you ratchet up on the revenue line, how should we think about that? Technically, it can provide a lot of operating leverage. But I assume as you've grown the revenue side, we should assume some uptick over there.
Thomas R. Wright - Executive VP, Chief Financial & Accounting Officer: No. I wouldn't assume that, Tahira. I think Paul is as frugal as I am. So, I don't anticipate any uptick in G&A, and in fact, we may actually have a decline even with the increasing revenues.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Okay, great. Folks, thank you ever so much for all the information. This has been very helpful.
Paul J. Varello - Chief Executive Officer: Thank you.
Operator: Thank you. Mr. Varello, there are no further questions at this time. I'd like to turn back the floor to you for closing comments.
Paul J. Varello - Chief Executive Officer: Thanks, Rob. We would like to encourage anyone with follow-on questions to contact our Investor Relations team from the equity group. Their contact information is on the bottom of our press release. They will be able to schedule a follow-up call with us to address any questions that you might have. I'd like to thank you for joining us on this call. We look forward to reporting to you in the future on our progress. Thanks very much.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and we thank you for your participation.